Operator: Good afternoon, and welcome to DoubleDown Interactive's Earnings Conference Call for the Third Quarter Ended September 30. My name is Daniel, and I will be your operator this afternoon. Prior to this call, DoubleDown issued its financial results for the third quarter of 2025 in a press release, a copy of which is available in the Investor Relations section of the company's website at www.doubledowninteractive.com. You can find the link to the Investor Relations section at the top of the homepage. Joining us on today's call are DoubleDown's CEO, Mr. In Keuk Kim; and its CFO, Mr. Joe Sigrist. Following their remarks, we will open the call for questions. Before we begin, Joe Jaffoni, the company's Investor Relations adviser, will make a brief introductory statement.
Joseph Jaffoni: Thank you, Daniel. Before management begins their formal remarks, we need to remind everyone that some of management's comments today will be forward-looking statements within the meaning of Section 27A of the Securities Act of 1933 as amended and Section 21E of the Securities Act of 1934 as amended, and we hereby claim the protection of the safe harbor provisions of the Private Securities Litigation Reform Act of 1995. Forward-looking statements are statements about future events and include expectations and projections not present or historical facts and can be identified by the use of words such as may, might, will, expect, assume, believe, intend, estimate, continue, should, anticipate or other similar terms. Forward-looking statements include, and are not limited to, those regarding the company's future plans, merger and acquisition strategy, strategic and financial objectives, expected performance and financial outlook. Forward-looking statements are subject to numerous risks and uncertainties that could cause actual results to differ materially and adversely from what the company expects. Therefore, you should exercise caution in interpreting and relying on them. We refer you to DoubleDown's annual report on Form 20-F filed with the SEC on April 21, 2025, and other SEC filings for a more detailed discussion of the risks that could impact future operating results and financial condition. These forward-looking statements are made only as of the date of today's call. The company does not undertake and expressly disclaims any obligation to update or alter the forward-looking statements, whether as a result of new information, future events or otherwise, except as required by law. As noted in this afternoon's press release, beginning with the 2024 fourth quarter, DoubleDown is reporting its financial results in accordance with IFRS. As such, the financial results for the 2025 third quarter reflect IFRS as do the comparable period for 2024. Previously, the company reported its financial results in accordance with GAAP accounting standards. The change to IFRS aligns DoubleDown's financial reporting with the financial reporting standards of its controlling shareholder in Korea. During today's call, management will discuss non-IFRS financial measures, which are believed by management to be useful in evaluating the company's operating performance. These measures should not be considered superior to, in isolation or as a substitute for the financial results prepared in accordance with IFRS. A full reconciliation of these measures to the most directly comparable IFRS measure is available in the earnings release issued this afternoon. I'd like to remind everyone that today's call is being recorded and will be made available for replay via a link in the Investor Relations section of DoubleDown's website. It's now my pleasure to turn the call over to DoubleDown's CEO, In Keuk Kim. Please go ahead.
In Keuk Kim: Thank you, Joe. Good afternoon, everyone. We are delighted to be with you today to discuss our strong 2025 third quarter results, the continued growth of SuprNation, initial results from our newest acquisition, WOW Games and other recent initiatives intended to enhance shareholder value. Let's start with the quarterly results. This afternoon, we reported third quarter consolidated revenue of $95.8 million and adjusted EBITDA of $37.5 million. Q3 revenue was comprised of $79.6 million generated by Social Casino operations and $16.2 million generated by SuprNation, our iGaming business. In Q3, we again delivered on our key operating priority of driving a high conversion of revenue to profit and cash flow. Cash flow from operations was $33.4 million, bringing our total for the first 9 months of 2025 to $94.1 million, and we are delivering the profit and cash flow results even as we continue to invest in the business and prudently increased marketing spending to acquire new players at SuprNation. Our flagship DoubleDown Casino app continues to be the engine of profit and cash flow generation for the company. Monetization metrics for the third quarter reflected this performance with ARPUDAU at $1.39, up from $1.30 in Q3 of 2024 and from $1.33 in Q2 of 2025. The payer conversion rate also rose during the quarter to 7.8%, up from both Q3 2024 and Q2 2025 levels. We continue to develop innovative enhancements to double-down casino, including with upcoming releases of new slot lobby for our mobile app and a new link Java system. We also remain very focused on the direct-to-consumer Social Casino opportunity, and DTC remains an important part of our growth strategy. In Q3, we increased the percentage of Social Casino revenue generated by DTC purchases as DTC revenue per DoubleDown Casino is now running at over 15%. We are also launching additional product changes within app purchase messaging to drive further growth of DTC revenue as a percentage of our overall Social Casino revenue. This not only helps to improve margins. It also enhances player engagement and retention. Our goal is to execute for with a DTC percentage of Social Casino revenue of over 20%. As I mentioned a moment ago, we are complementing our strong free cash flow profile and financial position through other initiatives intended to build new value per shareholders. Our commitment to building our Social Casino business is highlighted by the July appreciation of WHOW Games a Social Casino operator based in orange in Q3 of we believe the growth potential in international social market is currently greater than in the United States and we are working to leverage this investment for our shareholders. Turning to SuprNation. Q3 revenue of $16.2 million yet again represented the highest quarterly performance of the business since our acquisition in late 2023 and grew $700,000 on a quarterly concert basis. For perspective, SuprNation's quarterly revenue run rate has more than doubled since DoubleDown closed this acquisition as we continue to make steady positive progress on acquiring new players. Our investment in new player acquisition continues to generate strong returns even as the number of new players increased. At this time, we believe that investment in player acquisition could drive further success and growth for SuprNation into 2026. We are also excited to share with you that our team has been working on a new first iGaming casino with a new name to be launched only next year. Our experience in owning and operating SuprNation over the last few quarters and our success with integrating its operations and driving very healthy levels of top line growth reinforce our confidence that we can leverage our core strengths, financial discipline and strong balance sheet to further diversify our company by focusing on new gaming categories and underserved geographies. This priority is reflected in our acquisition of our games and our ongoing search for other acquisition targets that meet our criteria for expanding our operations into new markets while further diversifying our revenue and cash flow sources to create value for shareholders. Now I will turn it over to our CFO, Joe Sigrist, to walk us through our financials before providing my closing remarks. Joe?
Joseph A. Sigrist: Thank you, IK, and good afternoon, everyone. As was mentioned earlier, beginning with the fourth quarter of 2024, we are now reporting our financial results in accordance with IFRS. And the comparisons of our 2025 third quarter results to 2024 third quarter results reflect that change for the prior year period under IFRS. The financial statement implications and switching to IFRS from GAAP are generally insignificant with the biggest change being how our leases are treated as some amounts are now included in depreciation and amortization under IFRS. This generally makes our reported adjusted EBITDA slightly higher. To review, revenues for the third quarter of 2025 were $95.8 million, and were comprised of $79.6 million in revenues from our Social Casino business and $16.2 million of revenues from SuprNation. This compares to total company revenues of $83.0 million in the third quarter of 2024. Our Social Casino segment grew nearly 6% from the third quarter of 2024 and nearly 15% sequentially and as we realized initial contributions from the WHOW Games transaction, which further increased our revenue in Europe, specifically in Germany. The initial results from WHOW Games are encouraging, and we are assessing their operations and will include the impact on our Social Casino KPIs when we report our Q4 2025 results. iGaming revenues more than doubled, increasing 108% from the third quarter of 2024. And as IK stated, we're up $700,000 on a quarterly sequential basis. With our focus on leveraging our platform and driving free cash flow, we continue to generate strong monetization in the Social Casino business in Q3. We average revenue per daily active user or ARPDAU at $1.39 in Q3 2025 was up from $1.30 in Q3 2024. Payer conversion rate, which is the percentage of players who pay within the Social Casino apps increased to 7.8% in Q3 2025 compared to 6.8% in Q3 2024. And average monthly revenue per payer continued to be strong at $272 in Q3 2025, which is down just slightly from $281 in the prior year period. Again, this last quarter's results are KPIs that exclude WHOW Games. In the third quarter of 2025, operating expenses were $60.9 million compared to $47.6 million in the third quarter of 2024. The increase is primarily due to increased operating expenses related to SuprNation driven by revenue growth and the inclusion of operating expenses related to the addition of operations from WHOW Games. Sales and marketing expenses for the third quarter of 20 were $15.7 million compared to $9.2 million in the third quarter of 2024. In Q3, we continued to optimize spending to acquire new players for DoubleDown Casino while increasing sales and marketing spending for SuprNation focused on new player acquisition and marketing expenses at WHOW Games were included in our financial results for the first time. Profit, excluding noncontrolling interest for the third quarter of 2025 was $32.8 million or $3.21 per diluted share and $0.66 per ADS compared to profit, excluding noncontrolling interest of $25.0 million or $10.10 per diluted share and $0.51 per ADS in the third quarter of 2024. Adjusted EBITDA for the third quarter of 2025 was $37.5 million compared to $36.5 million for the third quarter of 2024 and $33.3 million for Q2 and 2025. Adjusted EBITDA margin was 39.1% for Q3 2025 as compared to 44.0% in Q3 2024 and 39.5% and in Q2 2025. Net cash flows provided by operating activities in Q3 2025 were $33.4 million compared to $32.1 million in Q3 2024 and $19.7 million in Q2 2025. For the first 9 months of 2025, net cash flows provided by operating activities were $94.1 million. We are on track to yet again generate over $100 million in free cash flow for the full year. And finally, turning to our balance sheet. As of September 30, 2025, and we add $439.2 million in cash, cash equivalents and short-term investments with a net cash position at quarter end of approximately $404 million or approximately $8.14 per ADS. Our current cash position reflects the approximate $65 million payment made in July for the WHOW Games acquisition. Now I will turn the call back to IK for closing remarks.
In Keuk Kim: Thank you, Joe. In summary, DoubleDown Interactive is delivering strong cash flow from its 2 meaningful and exciting businesses: Social Casino and iGaming. Our strong balance sheet and cash position allow us to continue to make disciplined investments in each of our businesses while continually evaluating new opportunities to enhance the growth of each. This includes investments through both organic means as we leverage the strength of our talented teams and through our evaluation of potential future acquisitions. We are now happy to take your questions. Daniel?
Operator: Our first question comes from Aaron Lee with Macquarie.
Aaron Lee: Maybe to start with SuprNation. So you've driven really nice growth out of that asset over the last couple of quarters, another over 100% growth in 3Q. Maybe share your thoughts on how you're thinking about the balance between investing for growth versus profitability from here?
Joseph A. Sigrist: Yes. Thanks, Aaron. The reality is that we really believe that -- have believed that there was capacity in SuprNation's business to add users profitably. And as you know, we measure not only in our iGaming business, but in the Social Casino business as well, the ROI of all the cohorts that we acquired when we market to acquire new players. And the good news is adding new players to the SuprNation business continues to meet our targets for return on ad spend. As we go forward, we'll just continue to monitor that. And when -- and I think we've talked before that essentially our payback period for acquiring new users about 6 months. And as long as we're achieving or hopefully even beating that threshold, we'll continue to add players. But if not, we'll dial it back and spend less to acquire new players.
Aaron Lee: Got you. Okay. That's helpful. And then on WOW Games, now that you've had some more time with that business and the team there, has anything changed in terms of how you think about the drivers of growth or the ramp time line for that acquisition?
Joseph A. Sigrist: Yes. It seems like it's been a long time, but it was just July when we closed the deal, and there's still work for us to do to really dig in. But so far, so good. We are, as I think I can mentioned excited about the growth in the European Social Casino sector, and we want to lean into that as much as we can. Again, just as I mentioned with the SuprNation, it's all about the road, the return on ad spend as we acquire new players, and so that's first and foremost on our mind. And then secondly, it's about product, product development. So slot games, how we could help them relative to potentially even bringing some of the slot games that we have in the other parts of our Social Casino business into their apps and how we could help on the technology side and meta features. And so that's kind of a next level evaluation that we're making as we're always looking to improve the product as well.
Operator: Our next question comes from Eric Handler with ROTH Capital.
Eric Handler: Just want to follow up that last question with WHOW. I mean, now that you've had up for 2.5 months, I'm sort of wondering if you could maybe lay out the road map over the next 6 months of what you hope to achieve?
Joseph A. Sigrist: Yes. I think as I mentioned to Aaron, we're looking really in the short term to determine how acquiring players can support the business. with the product that they have because that's the quickest and perhaps simplest way to affect the business in the short term. And then secondarily, we want to look at the product and some of the features and technology that we are interested in potentially leveraging from our traditional Social Casino business. And then I think, thirdly, one of the things that they've done a really good job on is kind of a build for third-party casino apps. So I think as we've discussed, they have a casino that they operate that is 100% supported with mature box, and they work with mature directly the care being a German slot machine manufacturer in that app. And so being able to lean into that and in fact, perhaps more with that with others is something that we're also looking at leveraging.
Eric Handler: That's helpful. And then as a follow-up, fully recognizing that there's a big difference between being shown acquisitions and being some quality acquisitions. I wonder if you could talk a little bit about your M&A pipeline at this point on what you're seeing?
Joseph A. Sigrist: Yes. I think the M&A pipeline continues to be busy. I mean it's interesting, obviously, that there are there are gaming assets that are ones that we all know about or that have been around for a while that are potential opportunities for us to integrate into our business. So that's on one end of the spectrum, and we continue to look at some of those. And then there are those that are newcomers, if you will. And that's across the board in all kinds of different genres of games, and we look at those. And so we're open for both ends of the spectrum, and we're looking at opportunities, again, both for games that we all know about and are familiar with that could be for sale as well as those that are, as I said, up in comes.
Operator: Our next question comes from Josh Nichols with B. Riley.
Josh Nichols: Good to see the progress. Just real quick, it looks like we're seeing potentially some stabilization in the Social Casino business. I didn't hear if you broke it out. What was the revenue contribution from WHOW for the quarter?
Joseph A. Sigrist: Yes. We haven't broken it out, and we're not going to separate it since it's all integrated with our segment reporting for Social Casino, but it was consistent with what we had previously said was essentially the run rate of their business. So there was no real surprise there from Laos operations in the summer.
Josh Nichols: Understood. And then there's been a lot of action that's being taken again like stat comps. You've seen things in California, there's a ban that's going into effect for overall. I'm curious historically, that had been pushing user acquisition costs higher. You're also seeing some potential action from Google on advertising. Has that started to alleviate some of the player acquisition costs? And is there an opportunity for you guys to deploy some additional capital to start growing that user base? Or are you not seeing much of an effect yet?
Joseph A. Sigrist: Yes. No, I appreciate you mentioning what's going on in Sweepstakes category. It's obviously very interesting. I think it's a little early for it to have. And you're right, by the way, we've said it's probably the biggest impact on us that we can have perceived with the sweepstakes business is upward pressure on CPIs on advertising costs. I think it's a little early given that California's ban just kicked in and some of the other states actions are early. But it's a little too soon to determine if that's going to have an impact on lowering cost. But I think all in all, none of this can hurt and we're obviously glad to see it.
Operator: Our next question comes from David Bain with Texas Capital.
David Bain: I guess I would first ask about direct-to-consumer. I know you're at 5% in 2Q and you're over that in 3Q. And I, you mentioned 20% is the goal. And if that's the case, I was wondering if you could put a time frame on that? And then also, is that sort of like an interim goal? I'm just looking at the industry leader. Was it 31% in 3Q and they want to get to 40% over 2 years? So I'm just kind of wondering what your overall thought process is with D2C.
Joseph A. Sigrist: Well, let me answer the target question. And if IK, if you want to talk a little bit about what we're doing to even accelerate our results in D2C, I'll let you do that. But yes, our -- and I think IK mentioned that our goal is to exit Q4, exit this quarter with a run rate of over 20% D2C. So we really think that it's possible to achieve something considerably higher than what we did over the last 6 months. And we've been doing some product work and we've been afforded. I think, based on what's happening in the industry as a whole, the ability to be more aggressive in messaging and in product and that kind of thing. IK, do you want to talk a little bit about what we're doing...
In Keuk Kim: Yes, for the broader D2C co-system especially in terms of providing more flexibility in how developers can communicate with transact direct with users, the recent direction of this platform is very helpful. At DDI, we've already been investing in our own D2C capabilities particularly through our own channels and direct CRM strategy. We engage players more freely and cost effectively outside of traditional platform constraints which opens up potential for margin expansion and improved lifetime value. We view this as a long-term tailwind for our business and for the industry at large.
David Bain: Okay. No, that's helpful. So it sounds like there's no cap on that 20% either. This is by the end of the year, and you'll reassess from there. was my take anyway. Well, maybe switching gears to SuprNation unless you had something to add on that. I'll go to SuprNation. So I believe on the last call, you cited the potential entry into new regions within Europe and into Canada. Maybe if you could provide us any sort of time frames or ideas or kind of updates with that? And then IT, you also mentioned a new brand, I believe, by the end of the year, if you could expand on that as well would be helpful.
In Keuk Kim: Yes. Let me start first about the first front. From a marketing payback perspective, as Joe mentioned, our current operation consistently with ROI targets, making these investments accretive rather than dilutive to profitability for the future. based on our experience, new brands help drive scalability and better ROI and scaling remains the priority in the iGaming business looking at larger market peers, we believe that once we ship a sufficient scale, then portion, we can start to deliver a profit margin of over to it. to drive further revenue growth, we are about to launch our first brand Las Vegas sites in addition to our existing 3 long-rate apps. This initiative are expected to enhance retention and bring additional efficiencies within the SuprNation ecosystem. Hope this helps.
David Bain: Definitely helpful. And any update on geographic expansion?
Joseph A. Sigrist: Dave, I'd say that we still feel like there's low-hanging fruit relative to the markets we're already serving, given how low our book share is. And so we're continuing to evaluate new markets. It's a more long-term thing. And we have room to run with our existing markets. So I wouldn't put a time frame on expansion, but we're always continue to evaluate that.
Operator: Thank you. This concludes our question-and-answer session and today's conference call. Thank you for participating. You may now disconnect.